Operator: Good day and welcome to the Evolution Petroleum Corporation Fourth Quarter Fiscal 2014 Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today's presentation there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I'd now like to turn the conference over to Mr. Randy Keys, Senior Vice President and Chief Financial Officer. Mr. Keys, please go ahead.
Randy Keys: Good morning. Thank you for listening to Evolution Petroleum's conference call to discuss results for our fiscal year ended June 30, 2014 and our fourth fiscal quarter. My name is Randy Keys, and I'm the President and CFO of Evolution Petroleum. With me today are Daryl Mazzanti, VP of Operations and Executive Vice President of our wholly-owned subsidiary NGS Technologies, and David Joe, our Vice President and Controller. Bob Herlin, our CEO was in New York for the Euro Pacific Investor Conference and Investor meeting and he will participate in the Q&A session later. Before we begin, let me cover the basics. If you'd like to be on the company's email distribution list to receive future news releases, please see the contact information in our news release. If you wish to listen to a replay of today's call it will be available shortly by going to the company's Web site at evolutionpetroleum.com, or via recorded telephone replay until September 24, 2014. The necessary information can be found in the earnings release. Please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today may contain forward-looking statements which reflect management's beliefs and assumptions based on currently available information. We can give no assurance that such forward-looking statements will prove to be correct, as they are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected. Our discussions also may include discussions of other categories of reserves besides proved reserves such as probable, possible or potential reserves or recovery and such estimates of non-proved reserves are more speculative than proved reserves. Since detailed information is readily available to everyone in yesterday's new release. We will focus our remarks on key overall results, operations and our capital plans for fiscal 2015 and beyond. David will review our financial results and Daryl will provide some commentary on our GARP business and then we will take questions. During the past year, we had several important milestone events. First, we restructured the company and significantly reduced overhead as we have shifted our emphasis away from traditional oil and gas development operation and divested of non-core assets. Second, we have focused operational efforts on our artificial lift technology as a key part of our growth strategy going forward. While still small today, we are convinced that this unique solution presents a broad and growing opportunity for us in the industry. Third, and of significant importance, the Board of Directors initiated the payment of cash dividends on our common stock at a rate which now results in a 4% yield on our stock. Delivering this income to our shareholders is a very important part of our financial strategy and we expect the dividend to continue and grow over time. With that introduction, I'm going to turn it over to David Joe, our Vice President and Controller for results of our operations.
David Joe: Thank you, Randy. I'm pleased to report that we earned $1.4 million or $0.04 per diluted share in the fourth fiscal quarter on revenues of $4.3 million. All the costs from our restructuring are behind us now and we did not have any significant non-recurring items in the fourth quarter. This is a major improvement over the previous two quarters which were burdened by restructuring and non-recurring charges totaling approximately $2.7 million. For the first time, we are also presenting separate revenue and expense information about our artificial lift technology operations, which generated revenues of approximately $140,000 in the fourth quarter with a positive gross margin of $58,000. This is solely from our company operated GARP wells. We have not yet recorded any net profits from our new third-party wells that were successfully installed in June 2014. Now that the remediation in the Delhi field is complete, our production and revenues appear to have stabilized over the past two quarters at a gross production rate of approximately 6000 barrels of oil per day. We had expected to see the rates start to increase, but now understand that the operator has chosen to produce the field at a lower pressure thus the lower current rate of production. Despite the lower production rate, the operator has stated that reversion of our 23.9% of working interest should occur during the quarter ended December 31, our second fiscal quarter. When this happens our net revenue interest will more than triple from 7.4% to more than 26%. Based on the current production rate, our net daily production should then increase from approximately 440 barrels of oil per day to over 1500 barrels of oil per day. Upon reversion, we will also be responsible for paying our proportionate share of operating expenses and capital expenditures of the field going forward. We finished the year with total revenues of $17.7 million down 17% from the prior year of $19.2 million primarily as a result of lower volumes from Delhi after the fluids release event and divestiture of our non-core other properties. Our average price per BOE increased almost 6% year-over-year as we had a significantly higher percentage of oil revenues from the Delhi field with its favorable LLS pricing. The main income from the year of $2.9 million or $0.09 per diluted share was substantially reduced by the $2.7 million of pre-tax expenses from the restructuring and other related non-recurring costs. I'm now going to turn the call over to Daryl Mazzanti, our Executive Vice President for an update on GARP technology operations.
Daryl Mazzanti: Thanks David. In May, we moved to workover rig again to being the first of five plan consecutive GARP installations under our previously announced contract. We successfully completed three installations (indiscernible) instruction in the wellbore on the fourth well and cease the operations. The planned fifth well was delayed by requiring partner approvals. We have recently received approval for two additional wells to complete the initial program and will begin well work starting soon. Of the first three wells, two are producing at a significantly improved commercial rate. However, the third well is either depleted or has a blockage in the formation and does not appear to be capable of commercial production even with our technology. We expect to refocus the equipment in that well (Technical Difficulty) we have been very busy giving presentations at industry conferences and our active members in the AORDC council. In addition, we are showing our technology at leading industry trade shows. We have also recently hired a sales engineer to assist in these marketing efforts. I'm now going to turn the call back over to Randy for a conclusion. Randy?
Randy Keys: Okay. In the Delhi field, our capital plans for fiscal 2015 which consist almost entirely of the Delhi field are depending on the timing of reversion and the capital spending plans of the operator. The operator has not spent any significant development capital expenditures in the field since early 2013 prior to the June 2013 fluid release event. Their plans now to put in a recycle gas processing plant and continue expansion of the CO2 flood pattern into the next phase of the project development in the eastern part of the field after our reversion. Our reserve report shows total capital spending of approximately $45 million net to us over the next four years with the gas plant comprising approximately a third of this amount and the expansion of the CO2 flood and related capital comprising the balance. We believe that our near-term capital spending could be as much as $25 million to $27 million, but this will likely be spent over the next two years. Going forward, we are in excellent financial health with $24 million in cash, no debt and substantial free cash flow from current operations and our pending working interest reversion in Delhi. Our working capital plus projected cash flows from operation should be more than adequate to meet our capital needs and provide an attractive and substantial dividend to shareholders, which we expect to grow over time. We will continue to retain considerable balance sheet strength and liquidity to allow us the flexibility to meet our needs at Delhi and grow our GARP business. As previously announced, we are in the process of replacing our $5 million unsecured bank line with an expanded secured credit facility a process which should be complete within the next couple of months. We remain excited about the opportunities in front of us and our ability to provide continuing share value growth and yield to our shareholders. With that, we are ready to take questions. Operator, you can please open the line for questions at this time.
Operator: Thank you very much. We will now begin the question-and-answer session. (Operator Instructions) And our first question comes from Jeff Grampp of Northland Capital. Please go ahead sir.
Jeff Grampp - Northland Capital: Hey guys. Question on the recycle gas plant at Delhi and maybe you can just share with us maybe some color on when Denbury might have that plant up and running. And what are the kind of associated recoveries in terms of the liquids that you guys expect to have as a result of that plant?
Randy Keys: Bob, are you on the line?
Bob Herlin: Yes. I'm on line now. I apologize to everyone; I'm calling from a taxi on the way from Manhattan to LaGuardia after presenting at the Euro Pacific Conference. So but I'm on board.
Randy Keys: Well, I guess any of the three of us could probably answer that question. I will take a stab at it. But, feel free to dive in if you want to add something. First off, the gas plant has been expanded to recover all natural gas liquids and methane from the stream and the capital – we are meeting with Denbury in the near future to get an early preview of their capital plans. We have had limited discussions to this point. We do think that plant is going to take almost a year to install to plan and complete installation. So we may not see full revenues from that until late next year. We really don't know the timing on that. But, we do think it's a necessary and beneficial plan for the field.
Bob Herlin: I think it's an accurate statement; it would be that we really won't see any contributions until our fiscal 2016 timeframe. So fiscal 2015 won't see any benefits from the plant but we should see some in fiscal 2016.
Jeff Grampp - Northland Capital: Fine. Okay. And in terms of a recovery rate and in terms of barrels that you guys expect to recover per day, is there kind of a number associated with that plant that you guys have that you can share at this point?
Randy Keys: Hi. Daryl is our technical – most technical and the answers we just don't have that information yet.
Bob Herlin: But actually what you can look at our reserves we announced and you can see what the NGLs and natural gas content that's off from the plant, since they are off from the plant.
Jeff Grampp - Northland Capital: Okay. Fair enough. And then, I guess kind of shifting over to, you said the litigation and all of that stuff with Denbury and I just was kind of curious if you guys could share maybe how you would expect at least related to any potential insurance proceeds that Denbury would receive. How that would flow through to you guys if you are working interest holder at that point, would you get a pro rata benefit from that or does that change the pay out period or how you guys think that affects things regarding insurance proceeds?
Bob Herlin: At this point in time, of course, it always very speculative and to talk about litigation and I'm sure our lawyers are online. They would say you can't talk about it at all. Since the reversion to-date is fairly pending, it's hard to believe that the insurance is going to – any insurance proceeds are going to get realized in time to have appreciable impact on the reversion of date itself. The logical expectation would be that proceeds received after reversion would be provided to us on a pro rata basis. But, logic isn't always an issue here. So and it really gets hard for us to say more than that at this point in time.
Jeff Grampp - Northland Capital: Okay. Fair enough. And then, I guess kind of last one from me, just kind of the general outlook for dividends and dividend policy moving forward given that we have the reversion occurring here hopefully fairly soon and you guys will obviously get a big bump in production in cash flow. What's kind of the expectation as it relates to the dividends moving forward?
Bob Herlin: Well, as Randy indicated, we do have – we are expecting a fairly hefty amount of capital spending in the near term, in the next near term in next year or so balance of our fiscal 2015 and perhaps the early part of fiscal 2016 until we get a really good handle on that timing. The amount and so forth it's – we are hesitant to make any commitment as to what the dividend might change to. But once we get through that process once we have a firm idea what CapEx is going to be and when we get our revolver increased will be in a [whole fair] (ph) portion to sit down with the Board and say okay this is what our free cash flow is going to be. And on a sustainable basis, going forward and will it be comfortable change that dividend in terms of an ongoing recurring dividend increase in terms of a special dividend or any other similar use of that free cash.
Jeff Grampp - Northland Capital: Okay. Great.
Bob Herlin: We are basically a year away, I think before doing anything really meaningful absent unexpected development.
Jeff Grampp - Northland Capital: Okay. Perfect. Thanks for the color Bob. That's only I got guys.
Bob Herlin: Sure.
Operator: And our next question comes from Joel Musante of Euro Pacific Capital. Please go ahead sir.
Joel Musante - Euro Pacific Capital: Good morning guys.
Bob Herlin: Hi, Joel.
Joel Musante - Euro Pacific Capital: I think most of my questions have been answered. But, I had a question; did you guys restate some of your production numbers for the – during the year for the artificial lift technology?
Bob Herlin: (Indiscernible) I'm not following you, what you are referring to…
Joel Musante - Euro Pacific Capital: No, yes. I'm just – when I subtract out the quarterly numbers for the fourth quarter seem to…
Randy Keys: Well, Joel, I think it's better to say we have not in the past reported the artificial lift information separately from our regular production. And there were some other non-GARP wells in the Giddings field that have now been divested that might have been in those historical production numbers.
Bob Herlin: Also South Texas, we had oil productions in South Texas through December last year. And so that was – that would be additional production, it would not be from Delhi and also not GARP.
Joel Musante - Euro Pacific Capital: Okay. So I was just trying to get – like a unit LOE number for the artificial lift in the fourth quarter because that you didn't have a lot workovers.
Bob Herlin: Sure. Joel, really at this point in time Giddings can be a real good venture because so far we have been doing a lot of R&D work on these wells. And so we have been doing a lot of workovers, a lot of tinkering to optimize the technology and improve upon it. And so I'm not sure that's a valid metric for going forward on an LOE per barrel basis. And I think that it will be a valid metric on a go forward basis as we started reporting new numbers especially since we have it broken out on our financials going forward.
Joel Musante - Euro Pacific Capital: All right. Fair enough. Just moving on, you booked some reserves for GARP this year, and I'm just wondering does that make the technology possibly more appealing to public companies in the public sector at all. Have you gotten any kind of feedback or response?
Bob Herlin: I will leave that up to Randy and Daryl, since they are the ones who are talking to the folks. But, keep in mind those reserves are reporting our crude reserves only. We actually have higher expectations, but those expectations are going to be in the possible category, but even if you look solely at proved reserves only plus production today. Our cost of the technology that we have installed is less than $4 per BOE. But, I have to let Randy and Daryl speak to what third parties are thinking?
Joel Musante - Euro Pacific Capital: Okay.
Daryl Mazzanti: Joel, this is Daryl. I believe it has – we have been encouraged by our marketing efforts today and have got a lot of response and received a lot of enquiries about GARP. And we can expect that to continue to go forward in the future especially with me doing technical presentations at industry conferences and councils.
Joel Musante - Euro Pacific Capital: Okay. All right. That's all I have. Appreciate it.
Bob Herlin: Thanks Joel.
Randy Keys: Thanks Joel.
Operator: And our next question comes from Mr. Tom Fox of Fenimore Asset Management. Please go ahead sir.
John Fox - Fenimore Asset Management: Hi, good morning everybody.
Bob Herlin: Hi, Tom.
John Fox - Fenimore Asset Management: Well, actually it's John. But that's all right. First of all, thank you for the new format that's appreciated. And just curious on the other properties maybe for Randy, is that just going to go away at this point obviously it's trending down and you have divested, so is that really just going to get to zero in this fiscal year?
Randy Keys: I believe it would be – it should be essentially zero going forward absent any minor trailing cost or very small interest that remains. But, essentially we have – we still have one asset that's primarily acreage that is for sale up in Oklahoma. But, to answer your question, yes. That number is headed to zero.
John Fox - Fenimore Asset Management: Okay. And then about the artificial lift, you mentioned on the call that not just your wells and not reflecting a common third party installations that you are doing. So I assume you the accounting for those will end there as those wells produce and you recognize that to the artificial lift line. Is that correct?
Randy Keys: That is correct. Go ahead.
Bob Herlin: Yes, go ahead Randy.
Randy Keys: And actually we do expect that that line will eventually be comprised of both fee revenues, royalty revenues as well as oil and gas production because we will have a mix of different contractual arrangements with our customers the one that we are – that we just recently are involved in actually allows us to receive a share of net profits from the well after – as long as the technology is installed. But our understanding is that from an accounting standpoint those will be considered fee income rather than direct interest in the production and the reserves. But, like I said, we do think that will be a mix of different revenue models and we will provide detailed disclosure as to what's behind that revenue – those revenues and expenses on the income statement.
John Fox - Fenimore Asset Management: Okay, great. And then based on your comments earlier in the call in the reversion area 1500 a day and you reported I guess [114] (ph) so far from the royalty, so from simple subtraction we are talking 1050 or 1100 barrels a day coming online fourth calendar quarter this year. Is that correct?
Randy Keys: That is correct. Our working interest is 23.9% and our net revenue interest on that is about 19.1%. And that – at 6000 barrels a day that equates to a little over 1000 barrels a day.
John Fox - Fenimore Asset Management: Okay. Thank you.
Operator: (Operator Instructions) And our next question comes from Bruce Brown of Brown Capital Management. Please go ahead sir.
Bruce Brown - Brown Capital Management: Good morning fellows. Looks like these guys are getting brighter for Evolution. I wanted to ask you when Denbury – when you anticipate Denbury to inform you of the reversion taking effect. What form will they – would they most likely use, whether they are going to call you or they are going to send you a letter of some kind or how does that process – how does that process unfold?
Bob Herlin: That's an excellent question. I wish I had the answer. I suspect we will find out by (indiscernible) in China. I'm sure it will be in the form of a letter; they will get notified probably preceded by an email. We actually have reasonably good communications with them. I mean, it's better than you might expect for two parties in litigation. But in operation we get along fine with them and even administratively we have a really good dialogue with them just that – they just don't agree with us and we don't agree with them so...
Randy Keys: Yes. I would add that the mechanics of that is that the reversion occurs becomes effective on the first day of the month following the month that payout is beginning to occur. So I have been thinking through that same question Bruce as well basically they will have to complete the accounting for a given month to determine that payout has occurred. So it maybe – even though payout occur, let's just say it occurred, we reach payout on October 15. They would have to complete their October accounting to determine that, which would likely be after November 1, but it would be effective retroactive to November 1. It would be my understanding.
Bruce Brown - Brown Capital Management: All right. Thank you, Randy.
Randy Keys: Okay.
Bruce Brown - Brown Capital Management: That's all I have.
Randy Keys: Okay.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Randy Keys: Bob, do you want to close this out?
Bob Herlin: Yes. I will do that. Just wanted to say that obviously, we would like to have had better results for the year, but when you factor in the cost of restructuring and one-time charges and the effects of the – obviously reduced production from the spill last year. I think we actually did a fairly well. Clearly, we are on a path for extreme improvements in financial results in the next year. We are looking forward to that. I'm extremely pleased with the changes we have done so far and what Randy and Daryl have done with growing GARP and really looking forward to this coming year. And if anyone has any questions, feel free to call Randy or me. We will be more happy to talk to you and also David Joe is now appoint person for taking calls. So thank you, again, for your interest in the company and (inaudible).
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your.